Operator: Thank you for standing by. This is the conference operator. Welcome to the Regional Management Second Quarter 2023 Earnings Call. As a reminder, all participants are in listen-only mode, and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator instructions] I would now like to turn the conference over to Garrett Edson, ICR. Please go ahead.
Garrett Edson: Thank you and good afternoon. By now, everyone should have access to our earnings announcement and supplemental presentation, which were released prior to this call and may be found on our website @regionalmanagement.com. Before we begin our formal remarks, I will direct you to Page two of our supplemental presentation, which contains important disclosures concerning forward-looking statements and the use of non-GAAP financial measures. Part of our discussion today may include forward-looking statements, which are based on management's current expectations, estimates, and projections about the company's future and financial performance and business prospects. These forward-looking statements speak only as of today and are subject to various assumptions, risks and uncertainties, and other factors that are difficult to predict and that could cause actual results to differ materially from those expressed or implied in the forward-looking statements. These statements are not guarantees of future performance and therefore you should not place undue reliance upon them. We refer all of you to our press release presentation and recent filings with the SEC for a more detailed discussion of our forward-looking statements and the risk and uncertainties that could impact our future operating results and financial condition. Also, our discussion today may include references to certain non-GAAP measures. A reconciliation of these measures to the most comparable GAAP measure can be found within our earnings announcement or earnings presentation and posted on our website at regionalmanagement.com. I'd now like to introduce Rob Beck, President and CEO of Regional Management Corp.
Robert Beck: Thanks, Garrett, and welcome to our second quarter 2023 earnings call. I'm joined today by Harp Rana, our Chief Financial Officer. Harp and I will take you through our second quarter results, discuss the credit performance of our portfolio, provide an update on some of our strategic initiatives, and share our expectations for the second half of the year. We're pleased with our second quarter results. We exceeded our expectations on both the top and bottom lines. We produced $6 million of net income and $0.63 of diluted EPS. Loan demand remained strong in the quarter, allowing us to generate high-quality portfolio growth and near-record quarterly revenue, while simultaneously maintaining a conservative credit posture. We also continued to closely manage our G&A expenses while investing in our business, driving our annualized operating expense ratio down to 13.6% in the quarter. Our focus on portfolio quality, expense management, and strong execution of our core business has enabled us to deliver consistent, predictable, and superior results quarter after quarter, even in a stressed macroeconomic environment. We've been encouraged by recent economic data indicating a strong labor market, moderating inflation, and real wage growth, but we continue to be cautious and selective in making loans within our tighten credit box. We grew our portfolio by $13 million in the quarter, slightly higher than expectations. However, we slowed our year-over-year portfolio growth rate to 11% compared to 16% last quarter and 29% in the second quarter of last year. We continue to be comfortable prioritizing higher-quality credit over more rapid portfolio growth, but we're prepared to lean back into growth when justified by the economic conditions and the overall performance of our portfolio. Our conservative underwriting combined with the strong loan demand has allowed us to continue to originate a greater proportion of loans to our best-qualified customers. Similar to last quarter, originations to our top two risk ranks represented 50% [ph] of volumes in the second quarter, up from 54% in the prior year period and from 45% in the second quarter of 2019. The average income of our customers has increased by 19% since 2019, and the share of new borrower originations continue to fall in the second quarter, as we've emphasized present and former borrower lending. New borrowers represented only 22% of second quarter originations, down from 27% in the prior year period. As we've highlighted on prior calls, new borrowers initially perform worse on average than our seasoned, present and former borrowers, which whom we have extensive on those credit experience. We also continue to grow our auto-secured business, which is now 8% of our portfolio, up from 5% a year ago. The auto-secured portfolio has a very attractive 30-plus-day delinquency rate of only 2.1% as of the end of the second quarter. Our second half 2022 vintages continue to outperform our first half 2022 vintages, and our 2023 vintages are some of the strongest in our portfolio. As of June 30th, 70% of our portfolio consisted of second half 2022 and 2023 vintages, a number that we expect to increase to roughly 85% by year-end. Our portfolio's early-stage delinquencies continue to benefit from several quarters of tightened underwriting criteria, but later-stage delinquencies have remained elevated, a trend that we observed across the industry. Overall, we ended a quarter with a 30-plus day delinquency rate of 6.9%, a sequential improvement of 30 basis points from the first quarter, but 50 basis points above the second quarter 2019 levels. It's important to note however that our second quarter delinquency rate was adversely impacted by the effective slower portfolio growth in 2023, compared to 2019. Sequentially, our portfolio grew by less than 1% in the second quarter of 2023, compared to 7% growth in the second quarter of 2019. If we work normalized for the effective slower growth this year, our 30-plus day delinquency rate would only be 30 basis points higher than second quarter 2019 levels, driven by elevated delinquencies in our late-stage buckets. Consistent with last quarter, our second quarter early-stage delinquency outperformed 2019 results. Our one-to-29 day and 30 to 89 day delinquency rates were 250 basis points, and 20 basis points better than the second quarter of 2019 respectively. In addition, our May first payment fault rate was more than 200 basis points better than the rate in May 2019. Our back book remains stressed due to macroeconomic conditions as older pre-tightening vintages roll through our later-stage delinquency bucket. We continue to manage these buckets closely and we expect that moderating inflation and credit-tightening will benefit the roll rates in these buckets in the coming months. Looking ahead, we'll maintain a tight credit box and focus on originating loans, only where we can achieve our return hurdles under an assumption of additional credit stress and higher future funds costs. By expanding the eight new states and increasing our stressful market by more then 80% over the past three years. We have ample opportunity to take advantage of high levels of consumer demand to drive stronger second half portfolio, while still remaining selective in improving borrowers under our conservative underwriting criteria. We expect full-year 2023 portfolio growth in the mid-single digits compared to 19% in 2022. In addition, in light of our conservative underwriting, the declining inflation rate and continued strength in the labor market, we believe that our net credit loss rate reached its peak in the second quarter. Better performance in our early-delinquency buckets, an ongoing credit-tightening will improve our net credit loss rates in the second half of the year, barring any further deterioration in the macro environment. We also continue to anticipate that our second half net income will be stronger than our first half net income due to stronger credit performance and higher revenue. In summary, we're pleased with our results and our current position and we're encouraged by recent economic data. But we remain cautious on growth at this time. We stand ready to make adjustments to our underwriting and gross strategy based on changes in our credit performance and the macro economic environment. With ample liquidity, significant borrowing capacity and a larger addressable market, we have the ability to quickly lean back into growth, should we observe improving economic conditions. I'll now turn the call over the Harp to provide additional color on our financial results.
Harp Rana: Thank you, Rob, and hello everyone. I'll now take you through our second quarter results in more details. On page three of the supplemental presentation, we provide our second quarter financial highlights. We generated net income of $6 million and diluted earnings per share at $0.63. Our results were driven once again by high quality portfolio and revenue growth and careful management of expenses, partially offset by increased funding costs and the net credit loss headwinds caused by macro economic conditions. Turning to page four and five, while demand remains strong, our tighter underwriting standards and collection focus led to a 6% decline in total origination from the prior year. By channel, digital and branch of origination were down by 19% and 7% respectively, and direct mail origination were up by 2%. As we've consistently noted, we've deliberately reduced originations in recent quarters as we appropriately balance growth with further enhancing the credit quality of our portfolio. Page six displays our portfolio growth and product mix through the second quarter. We close the quarter with net finance receivables of just under $1.7 billion, up $13 million from March 31 and slightly ahead of our guidance. As of the end of the second quarter, our large loan book comprised 73% of our total portfolio and 86% of our portfolio carried an APR at or below 36%. Looking ahead, we expect our ending net receivables in the third quarter to grow by approximately $50 million as we continue to monitor the economic environment and maintain our current underwriting standards. We remain focused on smart, controlled growth, particularly given the continued uncertainty around consumer's financial health. As circumstances dictate, we're prepared to further tighten our underwriting or lean back into growth, either of which could impact net receivables in the third quarter. As shown on page seven, our lighter branch footprint strategy and new states and branch consolidation actions and legacy states contributed to another solid, same-store year-over-year growth rate at 7% in the second quarter. Our receivables per branch remain right near all-time highs, coming in at $4.9 million at the end of the quarter. We believe considerable growth opportunities remain within our existing branch footprint under this more efficient model, particularly in more branches and newer states. Turning the page eight, total revenue grew 9% to $133 million in the second quarter. Our total revenue yield and interest and fee yield were 31.9% and 28.2% respectively. The year-over-year declining yield is attributable primarily to our continued mix shift towards larger higher quality loans and revenue reversals from the credit impact of macro-economic conditions. In the third quarter, we expect total revenue yield and interest and fee yield to be up by 40 basis points compared to the second quarter due to improvement in the credit performance and the impact of pricing increases on newer loans. We also anticipate that an improving credit environment and increased pricing will drive further benefits for yields in future quarters, particularly as our recent pricing actions rolled through the portfolio over time. Moving to page nine, our 30 plus day delinquency rate as at quarter end were 6.9% and our net credit loss rate in the second quarter is 13.1%. Our tightened underwriting contributed to our gradually improved delinquency profile from the prior quarter, while net credit loss is peaked in the second quarter as expected. In the third quarter, we expect our delinquency rate to increase only slightly compared to the second quarter, as the typical third quarter seasonal increase in delinquencies is largely mitigated by improving credit performance. In addition, we anticipate that net credit losses will be approximately $46.5 million in the third quarter, as the net credit loss rate comes off at second quarter high. This leaves that the portfolio and credit continue to perform as expected, particularly in our front book and credit tightening. Turning to page 10, our allowance for credit losses declined slightly in the second quarter. We released reserves of $2.4 million after incorporating a slightly more optimistic view of the macro environment into our reserve modeling, including a higher likelihood of a soft landing with a lower year end unemployment rate to 5.5% and a lower peak unemployment rate of 6.4% in the second quarter of next year. As a quarter end, the allowance was $181 million, or 10.7% of net finance receivable, down from 11% of net finance receivable as a March 31. The allowance continues to compare favorably into a 30 plus day contractual delinquency of $116 million. We expect to end the third quarter with a reserve rate between 10.5% and 10.6% subject to macro economic conditions. Assuming credit continues to improve, we would expect our reserve rate to decline further by year end. Over the long-term, under a normal economic environment, we continue to expect that our net credit loss rate will be in the range of 8.5% to 9% based on our current product mix and underwriting. And we believe that our reserve rate could drop to as low as 10% with the improvement attributable to our shift to higher quality loans. As we've always done however, we'll manage the business in a way that maximizes direct contribution margin and bottom line results. Flipping to page 11, we continue to closely manage our spend while still investing in our capabilities and strategic initiatives. G&A expenses for the second quarter were better than our prior guide, coming in at $57 million. Our annualized operating expense ratio was 13.6% in the second quarter, a 110 basis point improvement from the prior year period. We'll continue to manage our spending closely moving forward. In the third quarter, we expect G&A expenses to be approximately $63.5 million to support residuals growth and to continue to invest in several important technology, digital, and data and analytics projects that are critical to the modernization and evolution of our omnichannel business. Over the long term, we believe that these investments will drive addition, sustainable growth, improved credit performance, and greater operating leverage. Turning to page 12 and 13 are interest expense for the second quarter of $16 million, or 3.8% of average net receivables on an annualized basis. As a reminder, in the second quarter of last year, we experienced a $3 million mark-to-market benefits to interest expense and pre-tax income from our interest rate count. In the third quarter of 2023, we expect interest expense to be approximately $17 million or 4% of average net receivables, with the increase in expense primarily attributable to our expected portfolio growth. We continue to aggressively manage our exposure to rising interest rate, as 88% of our debt is fixed rate as of June 30th, with a weighted average coupon of 3.6% and a weighted average revolving duration of 1.6 years. As a result, despite the sharp increase in benchmark rates over the last 18 months, we've experienced a comparatively modest increase in interest expense as a percentage of average net receivables, a benefit of our interest rate management strategies that we expect to continue to enjoy throughout the balance of the year. We also continue to maintain a very strong balance sheet with low average, healthy reserves, ample liquidity to fund our growth and substantial protection against rising interest rates. As of the end of the second quarter, we had $641 million of unused capacity on our credit facilities and $147 million as available liquidity, consisting of unrestricted cash on hand and immediate availability to draw down on our revolving credit facilities. Our debt has staggered revolving duration stretching out to 2026, and since 2020, we've maintained a quarter-end unused borrowing capacity of between roughly $400 million and $700 million, demonstrating our ability to protect ourselves against short-term disruptions in the credit market. Our second quarter's funded debt-to-equity ratio remained a conservative 4.2 to 1. We have ample capacity to fund our business even if further access to the scrutinization market were to become restricted. We incurred an effective tax rate of 23% for the second quarter. For the third quarter, we expect an effective tax rate of approximately 24% prior to discrete items, such as any tax impact of equity compensation. We also continue to return capital to our shareholders. Our Board of Directors declared a dividend of $0.30 per common share for the third quarter. The dividend will be paid on September 14th, 2023 to shareholders of record as of the closed of business on August 23rd, 2023. We're pleased with our second quarter results with the strong balance sheet and are near and long-term prospects for controlled sustainable growth. That concludes my remarks. I'll now turn the call back over to Rob.
Robert Beck: Thanks, Harp. Before I turn the call over to questions, I'd like to thank our hardworking team members for their outstanding customer service and the excellent results they delivered in the second quarter. As we've said in the past, in this challenging economic environment, we remain focused on consistent execution of our core business, including originating high quality loans within our tighten credit box, closely managing expenses and maintaining a strong balance sheet. We're pleased to see that our credit-tightening actions over the last several quarters have driven strong performance in our more recent loan vintages with early delinquency and first payment default continuing to outperform 2019 levels. Thanks in part to our geographic expansion over the past few years. We're well-positioned to take advantage of robust consumer demand in third quarter by growing within our conservative credit box. We'll also keep a tight rip on expenses moving forward, while making key investments in technology, digital initiatives and data and analytics that will further our strategic objectives and create additional sustainable growth, improve credit performance and greater operating leverage over the long-term. And of course, when the economic conditions are right in the future, we'll leverage our substantial balance sheet strength, liquidity and borrowing capacity to reopen our credit box and lean further into growth. Thank you again for your time and interest. I'll now open up the call to questions. Operator, could you please open a line?
Operator: Certainly. We'll now begin the question and answer session. [Operator Instructions] The first question comes from Sanjay Sakhrani from KBW. Please go ahead.
Steven Kwok: Hi, this is Steven Kwok doing in for Sanjay. Thanks for taking my questions. But the first one I have is just around the benefit from the repricing. How should we think about that going forward if you can help us break out how we should expect the yield to move going forward? Thanks.
Robert Beck: Yes, Steven, thanks. Thanks for joining. The great question. As Harp mentioned in her portion of the presentation that we expect yields scope about 40 basis points in the third quarter. That's a mixture of both credit normalizing as well as the repricing actions we have taken. It takes a while to repricing your book. And so, you really don't see the full benefits of our repricing until next year. But what I would say to you is, and we have stated this before, normalization of credit is worth about 100 basis points in terms of repricing. It's going to be a similar amount, but the time frame by which that comes through is a little bit longer.
Steven Kwok: Got it. And then my follow-up question is around the 8.5% to 9% loss rate over the longer term. Can you help us break it out by product? How should we think about as like small versus large and then versus retail? Thanks.
Robert Beck: Yes. So, well, retail is just winding down. So, the 8.5% to 9% range and I just want to be clear about that was based on the current credit box as we have it today as tightened it is today. You would expect that as we lean back in the growth and loosen up credit and you get a higher -- some higher risk assets and some higher returning APRs, you would expect that range will increase. So, that guidance we gave was just based on the credit box today. We would update that guidance depending on how our mix shifts going forward in the future depending on what kind of originations we put on as the macro environment improves.
Steven Kwok: Got it. Thanks for taking my questions.
Robert Beck: Thanks.
Operator: [Operator Instructions] The next question comes from Bill Dezellem from Tieton Capital. Please go ahead.
Bill Dezellem: Thank you. A couple of questions. First of all, relative to your entry into additional new states, would you walk us through how you're thinking about that? And I do have a follow-up.
Robert Beck: Yes. So, we've entered eight new states. And we had I think four new states since June of last year. Those states are all going very well. We're seeing a lot of the growth we're putting on is coming from those new states where some of the, legacy states have been more stable if you will, particularly as we've tightened credit. I think what you would expect is, as we move forward, depending on the macro environment, we'll start to see a rebound and growth in legacy states and continue growth in those new states. But all those new states have performed very well. I mean, it's a addressable market. There's a lot of demand out there. And so, we're just being smart about the rate of growth relative to what might be the macro risk that are out there.
Bill Dezellem: Thank you. And relative to the macro environment and your point that you could lean into growth or you could tighten back up. What is it that you are looking for? What are the data points that would lead to an inflection in your mindset?
Robert Beck: Yes. So I think it's the macro environment, which starts with inflation, which is, as you know, cooling, a stable employment environment, which we're seeing continuation of real wage growth, which for our customer set over the last year has grown about 2%. And so, those are all positive. The economy is growing. And there seems to be increased optimism that we're going to have a soft landing. So, I think the macro elements seem to be falling into place. I think the other side of that is looking at the performance of our portfolio and the vintages we put on since middle of last year, but even the most recent ones. And make sure they're performing as expected within the current environment. Customers are still stressed. There are still high inflation. Gas prices ticked up a little bit. But I think once we see that -- the performance of our vintages, which look good, continue on that path. And we don't see any material change in the economic outlook. And we indeed have a softer landing than I think, we'll be much more comfortable really leaning back into growth more aggressively. Now, I will tell you that, we grew the receivables by $13 million this quarter. And I think we're originally guided at five. For the third quarter, we are now saying $50 million receivable growth Now, I think last year, third quarter, we were probably 70 or 75, somewhere in that range. And so, we are putting on more growth, but we're doing it because they're strong customer demand and we're in a strong competitive position to be very selective on the assets we put on. And so, I think that bodes well for the future. And we have guided that we expect, mid single-digit growth this year versus low to mid single-digit growth,  which is what we said last quarter. So, we're hinting at a better outlook in the second half for growth, but we're taking it in a measured way.
Steven Kwok: Rob, that's helpful. And then, one additional question. What percentage of your customer base are college graduates? And the spirit of the question is relative to the student debt repayment. Assuming that does start to happen, the potential impact that that might have on your customer base?
Robert Beck: Yes, I don't want to give -- I don't have the probably the latest college graduate number in front of me. But I think the number you're looking for is the percentage of our portfolio that have student loans. And that we've shared in the past and I'll provide it now. So, 19% of our base, whether it's customers or balances have student loans. And so, the expectation is repayments are supposed to begin in our October. But I think, as you know, there is various government programs and on-ramping of starting payment as long as the year for all customers without penalty. There's also income thresholds where customers below, I think it's 33,000 loan have to make payments. And if you make more than that, you may not have to make payments subject to the size of your family and your other obligations. So we think that roughly 10% to 15% of our customers would probably start to make payments in October versus the 19%. Hard to be too precise on that number. And then in our underwriting, we've always considered student loan payments in our underwriting and we'll be looking to see if there's any further tightening we might do here as we see additional data as payments start to begin. So, it's a long on-ramp from the government standpoint. I think we're positioned as well as anybody in the industry and we'll continue to monitor it.
Steven Kwok: Great. Rob, thank you very much, and great quarter.
Robert Beck: No, appreciate it. Thanks.
Operator: The next question comes from Alexander Villalobos from Jefferies. Please, go ahead.
Alexander Villalobos: Hey, guys. Thank you for taking my question. My question is really on the originations again. So, we're really front loading a lot of the growth into 3Q. And 4Q is kind of just a lot lighter compared a year-over-year. But yes, just wanted to confirm the mid-single. Is it more like -- is it the high-single digits kind of just want to make sure we have that kind of like forecasted correctly? Thank you.
Robert Beck: Yes. I understand the nuance. Look, from a business standpoint, we always have a fairly strong July and August. Back-to-school, particularly in the south, right, which tends to be as early as next week. And so, we usually have a strong July and August, September tails off as does October. And then we pick up in November and December. So, I understand how calendarization can get a little tough. But, I think, if you look at kind of the growth rate we're doing in the third quarter, the $50 million we provided relative to last year, I think then, maybe you can take a look at what we did in fourth quarter, last year of $100 million, and make a make an estimate based on based on kind of what we did in the third quarter. Hopefully that's helpful.
Steven Kwok: Yes. No, its super helpful. You guys give a really good guidance. Thanks guys.
Robert Beck: No problem.
Operator: This concludes the question and answer session. I would like to turn the conference back over to Mr. Back for any closing remarks.
Robert Beck: Thanks operator, and thanks everyone again for joining this evening. A very happy with the quarter. We're really executing well. We're delivering on the credit front. As we talked about seeing improved credit from our tightening, the recent vintages are performing very well as you see in the FPDs and the early buckets. I talked about in response to Bill's question, the macro fund and the increasing optimism about a softer landing. So we'll leave it at that. I do want to reinforce the customer demand is strong, but more importantly, we're in a strong competitive position to be selective on growth. We've got a strong balance sheet and liquidity to put on more growth. And that's a good position to be in at this point in time. We are prepared to lean back in a growth and we're watching the indicators. And I think I was pretty clear about what those indicators are. So, we'll follow our growth pattern. We'll follow our comfort around both our portfolio and performance and the macro conditions. And then lastly, it's worth noting, we continue to exercise tight expense controls. So we will ramp up investment in the second half of the year. Spending on digital and data analytics and other business capabilities to benefit 2024. It's always important to close out your year and put yourself in the best position for the following year. And that's what we're working to do. So with that, again, thanks for everybody's time this evening. Look forward to talking you in the next quarter.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.